Operator: Good day, and thank you for standing by. Welcome to the Carrefour Full Year 2024 Results Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speakers today, Mr. Bompard, Chairman and CEO; and Mr. Malige, CFO. Please go ahead.
Alexandre Bompard: Thank you. Good afternoon, everyone. Thank you for joining us for the presentation of our 2024 results. In a nutshell, 2024 was a challenging year for European food retailers. Consumption was weak and markets were competitive. In this context, Carrefour decided to invest in its competitiveness and pursued its transformation at a high pace. Overall results show steady delivery. We see growth in recurring operating income at constant ForEx, growth in EBITDA and the net free cash flow in line with expectations on multiyear trajectory. Those results are notably driven by the good performance of our 3 key countries: France, Brazil and Spain. In the French market, affected by a decrease in consumption volumes, Carrefour France realized a remarkable year. 2024 marked our strongest investment in prices and led to our best price positioning since 2020. It has been well noticed by customers as reflected in a plus 5 points in French NPS and the market share growing in Q4 on a like-for-like basis, excluding Cora & Match. In parallel, we opened more than 450 new convenience stores, thanks to a historical record number of new convenience partners choosing our brand. In addition, we continued Hypers and Supers conversions to franchise and lease management. The Cora & Match integration is moving forward very well with successful store conversions and operational alignment. Alongside with the integration of 27 former Casino stores, we demonstrate our ability to execute large-scale integration. Thanks to these acquisitions, Carrefour France has its highest market share level in over 10 years. Additionally, Carrefour France implemented strong cost reduction initiatives. Recurring operating income increased once again and reached a new high above EUR 1 billion, its highest point in 10 years. 2024 marks the sixth consecutive year of recurring operating income and operating margin improvement. The second major satisfaction is Brazil, which is on a strong growth trajectory. Brazil's recurring operating income growth reached close to 25% in local currency. Atacadao has performed better than the market and kept attracting more B2C customers. Carrefour Retail also had good commercial traction with price investments on the new dedicated offer for B2B customers. Atacadao stores continue to ramp up in line with their synergies target. To sum up, Carrefour Brazil is set to enjoy an attractive growth trajectory in 2025 and beyond. Alongside Brazil, it's worth noticing a record level of profit in Argentina at EUR 115 million. Our leadership puts us in a favorable position to benefit from the normalizing inflation undergoing in the country. Third, we see a positive trend in Spain. Carrefour decided to reestablish a favorable price gap versus large market players and invested significantly in France in 2024. This move came at a cost, but had a very positive impact. Customers have noticed our improvements have translated in the NPS. We reached a positive like-for-like every month since September. As a result, we end Q4 with market share gains and the ramp-up in profitability. [indiscernible] positive year aside, our other smallest European countries experienced a more challenging year with different routes across geographies. In all our geographies, we continued our fast-paced transformation. Private label penetration keeps progressing and has reached 37%. E-commerce growth continues with substantial profitability improvements. We reached EUR 6 billion GMV, plus 18%, reinforcing our leadership position in home delivery, along with market share gains in Click & Collect. We also successfully increased our NPS in all our geographies by 5 points. At the same time, our cost saving plan remains firmly on track, delivering EUR 12 billion in annual savings as planned. With all that, recurring operating income increased by 1.4%, excluding currency effects. EBITDA grew by 1.7% and net free cash flow reached EUR 1,450 million, in line with our 2026 trajectory. Last, our performance extends to our social and environmental actions. We achieved a score of 111% in our corporate social responsibility index. In particular, we made our Scope 1 and 2 emissions reduction goals 5 years ahead of the planned time line with a reduction close to 50% by the end of 2024. And we have accelerated the path of suppliers joining our 1.5-degree climate trajectory. The percentage of suppliers has doubled since the launch of our initiative. Moving forward to 2025, I would like to make two main comments. First, our pricing strategy is effective. We've seen this especially in France, Spain and Brazil, and we are confident in our commercial edge going forward. Therefore, we will continue to invest in our competitiveness to accelerate our market share gains momentum. In 2024, this will be financed by ongoing progress of strategic initiatives, especially procurement efficiency, digital transformation, private label and continued cost discipline with a yearly target of cost savings raised to EUR 1.2 billion in line with 2024. Given all this, we are confident that recurring operating income, EBITDA and net free cash flow will grow slightly. Second comment, halfway through our Carrefour 2026 strategic plan and given the market environment, we have decided to drive the company forward with verticality. A few weeks ago, we launched a strategic review of our portfolio of activities. This includes all our businesses and organizational models without off-limit topics or entities. The first decision we took is to acquire the remaining share of Carrefour Brazil. We have been expanding there with an extremely competitive business model and through a series of targeted acquisitions. The purchase of all Carrefour Brazil shares will allow our local management to focus and consolidate our undisputed market position. This move will generate sustainable value for our customers, employees, partners and shareholders. The second decision that we took is to increase our investment in our French operations substantially. There will be a significant investment in French stores in particular. We are confident that we will enhance our customer experience and provide strong commercial returns. To conclude, I now move on to our dividend policy that is in line with previous years. We have decided to increase our ordinary dividend by 6%, reaching EUR 0.92 per share. On top of this, we had a special dividend of EUR 150 million or EUR 0.23 per share. All this leads us to a total return of 8% as Carrefour continues to offer one of the highest yields in the industry. To wrap up, we have both confidence in delivering a strong 2025 year and determination to focus on what matters and take strong decisions to enable us to accelerate in our core countries. Thank you for your attention. I will now hand over to Matthieu for more details on our financial performance.
Matthieu Malige: Thank you, Alexandre, and good afternoon to everyone. It's a pleasure to be with you to cover our 2024 financial results in detail. Let's start our review with Q4 sales on Slide 9 of the presentation. Total sales for the quarter reached EUR 25.7 billion, increasing by 2.6% at current currency. Group like-for-like sales were up 7.1%, mostly driven by Latin America and by a slight sequential improvement in France and Europe. Expansion and M&A contributed plus 5.6% in Q4, driven by the consolidation of Cora & Match in the second half of the year. Petrol contributed negatively for minus 1.1% on the back of lower volumes. The calendar effect was a positive 0.5%. Foreign exchange had a strong negative impact in Q4, mainly due to the sharp depreciation of the Brazilian real and the Argentine peso. Moving on to Slide 10 with a look at our full year and Q4 revenue by country. In France, like-for-like sales were down minus 2.1% in Q4, reflecting our price investments and market share gains in volume terms on a like-for-like basis in a sluggish market marked by negative volumes. Conversely, e-commerce remains strong with GMV increasing by 8% in the country and market share trends on both Click & Collect and home delivery. Europe posted a plus 0.6% like-for-like sales growth in Q4, slightly better than Q3. As we did in France, we progressively invested in our price competitiveness throughout the year. This, combined with slightly higher inflation resulted in sequential improvements in all our European like-for-likes versus Q3. In Spain, where we invested through the year, like-for-like sales have been positive since September, and our market share trend was positive at the end of the year. In Italy, in a market with strong promotional pressure, like-for-like trajectory strongly improved in Q4 on the back of successful commercial initiatives, notably on food with a gradual recovery in volumes. We continue to transfer hypermarkets to the management with 5 hypers now operated under this model. Belgium was quite resilient with positive like-for-like sales since November despite high comparables and benefits from a record level of customer satisfaction in all formats. Romania delivered solid like-for-like sales growth with a sound commercial momentum driven by continued improvement in price position. Ex-Cora stores keep ramping up. Last, Poland continued to face very adverse market environment in Q4 as price competition did not ease. Like-for-like sales in Brazil increased by 6% in Q4, supported by all 3 formats in a context of accelerating food inflation. Atacadao strengthened its leadership position in the Cash & Carry segment, outperforming market growth again. Carrefour Retail continued to post solid momentum, both on food and nonfood, reflecting the successful commercial strategy with price investments and the continued rollout of the offer for B2B customers. At Sam's Club, the performance was driven by the continued increase in the number of active members with plus 14% growth. In Argentina, Carrefour's performance remained solid in Q4 with record levels of customer satisfaction in an environment marked by the strong slowdown in food inflation and a decline in volumes on high historicals related to storage in Q4 2023. At group level, e-commerce GMV kept growing strongly in Q4 with plus 15% growth, mainly driven by Brazil and France. Moving on to our P&L on Slide 11. Recurring operating income stood at EUR 2.213 billion, slightly down from 2023 due to negative currency effects from the Brazilian real and Argentine peso. Excluding ForEx, which weighted for minus EUR 83 million, recurring operating income was up 1.4%. The gross margin rate was slightly down compared to last year, reflecting the depth of the price investments in Europe, together with the ongoing shift towards more franchise-operated stores. Distribution costs improved as a percentage of sales in 2024, reflecting Carrefour's strong cost discipline and ability to drive efficiencies despite inflation. We delivered EUR 1.240 billion of cost savings in 2024, in line with the objective we had revised upwards in April. Let's now look in detail at the operating profit by region, starting with France on Slide 20. Recurring operating income increased by 5.5%, passing the EUR 1 billion mark for the first time in a decade. We delivered on our commitment to invest significantly in our price competitiveness and restore a solid market share dynamic. The inflection in market share was visible as of the beginning of Q2. We started gaining market shares in volume at the end of December, and we've been performing quite well since then with about 20 bps market share gains in volume each month since October, leading to a stable market share in value in Q4. This without the additional market share of Cora & Match, of course. So it worked as well as we'll see later, it also works in Spain. If we take a step back over the past -- over the past 2 years in France, we have restored a positive market share trajectory and have increased recurring operating income by 25% and increased margin by over 40 bps. We will carry on that path in 2025 with additional price investments and cost savings. In 2024, we were able in France to offset our price investments, thanks to a few factors. First, the rigorous execution of our cost savings plan. Second, the continued improvement in the profitability of our digital activities; and third, the ongoing transformation of our stores portfolio. In 2024, 16 hypers and 23 supers were converted to lease management. There are now 101 hypermarkets under lease management in France, representing 41% of the total portfolio of Carrefour hypers in the country. We announced a few weeks ago our intention to carry on at the same pace in 2025 with 15 hypers and 25 supers to be transferred. At the same time, we kept growing our franchise network in the convenience format with a record number of 454 new signings, hence demonstrating the strong value of our proximity concept and our franchise business proposition to partners. The second semester was marked by the successful integration of Cora & Match stores, which delivered better-than-anticipated results. All 60 Cora stores were converted to the Carrefour banner at end November and Carrefour private label products are also being rolled out in ex-Cora stores. All this progresses as planned. Let's move on to Europe on Slide 13. Overall, a very tough business environment carried on through the year and materially affected our profit stream. Price investments weighted on profitability but began to deliver results with sequential like-for-like sales improvement and a notable turnaround in Spain from September onwards. More broadly, the positive trajectory observed in Q3 was confirmed in the fourth quarter. Other elements weighted on the recurring operating income. In Poland and Romania, we were affected by a double-digit increase in wages. In Spain, our core retail business remained solid, but the country's profits were penalized by a negative environment for our financial services and the integration of SuperCor stores. In Romania, we also had to bear the integration costs of Cora. On a positive note, Belgium delivered growing recurring operating income, driven by its good commercial performance and sound cost control. In the end, recurring operating income was down to EUR 397 million in Europe. Moving on to LatAm on Slide 14. Recurring operating income increased by 15.2% in euros or 26% at constant exchange rates. In Brazil, we reinforced our leadership in the Cash & Carry segment, opening 19 new Atacadao stores and expanding our market share on a like-for-like basis. This growth was driven by initiatives aimed at enhancing our appeal to B2C customers, including new service counters and self-checkouts, all while preserving our unmatched value proposition for B2B clients. Converted ex-BIG stores continue to progress well toward their target levels of commercial performance and profitability. Commercial synergies are ramping up and add up to the cost synergies, representing a total level of synergies of BRL 2.9 billion at end of December. In the Retail segment, we optimized our store portfolio by divesting or closing underperforming locations and converting 22 stores into Atacadao and Sam's Club. The strategic price repositioning fueled a strong rebound in sales with particularly robust like-for-like growth from Q2 onwards. And Sam's Club, we achieved another solid year with 7 store openings and 14% growth in active members. In the end, Brazil posted EUR 764 million of recurring operating income, a 14% growth in euro and a 60 bps increase in operating margin. As mentioned before, we faced the material depreciation of the Brazilian real in H2, which negatively impacted profitability during this period. In Argentina, we achieved a record recurring operating income of EUR 115 million, marking a 20% year-over-year growth. This performance was driven by strong commercial momentum and disciplined cost savings despite a challenging environment characterized by rapid disinflation in 2024 and significant pressure on volumes. The reported recurring operating income also reflects a negative EUR 16 million impact from IAS 29. Now looking at the lower part of our P&L on Slide 15. Nonrecurring expenses totaled EUR 424 million, primarily reflecting restructuring costs in Europe. Net financial charges will be detailed in the following page. The tax charge declined to EUR 303 million from EUR 439 million in 2023, primarily due to lower pretax income. The normative tax rate was roughly stable at 27.2%. Overall, adjusted net income group share stood at EUR 1.81 billion, translating into an adjusted EPS of EUR 1.61 per share, which is 6% below last year. Net financial charges rose to EUR 759 million compared to EUR 410 million in 2023. As shown on Slide 16, this increase is largely driven by the situation in Argentina, which accounts for EUR 310 million or nearly 90% of the variation. As explained last year, we benefited from a strong positive effect in the second half of 2023 due to dollar-based local investments whose value increased significantly following the major devaluation of the Argentine peso in December '23. This created a high base effect. In 2024, returns on investments were lower, and we also faced the impact of dividend repatriation to Europe at an exchange rate below the official rate as well as an unfavorable effect from the application of IAS 29. This created a negative impact of EUR 189 million in 2024. Finally, the remaining EUR 39 million increase in financial costs is mainly due to higher financial interest rates on bond debt in Europe. Now turning to net free cash flow on Slide 17. So we generated EUR 1.457 billion, which, as guided, is in line with our multiyear target. Let me break down the key drivers. EBITDA increased by EUR 79 million. Income tax cash outs rose by EUR 263 million, driven by 3 key factors: first, a significant increase in the Argentine tax base in 2023, which was cash out in 2024. Second, no more use of tax loss carryforwards in France in 2024 as they have all been used now. And third, an unfavorable comparison in Brazil, where 2023 had benefited from tax credits. Change in working capital contributed to EUR 831 million, driven by 4 main topics of relatively equivalent size. First, the improvement of working capital related to the increase in activity and the consolidation of Cora & Match in H2. Second, a large effect from Argentina working capital, reflecting the inflationary environment and more purchases at the end of 2024 in comparison to tensions on supply in December '23. Third, inventory reduction at group level, excluding Argentina and Cora that I commented earlier. And last, an improvement of receivables, notably due to optimized collection processes and sale of credit card cash receivables in Brazil. Finally, asset disposals totaled EUR 599 million, primarily from real estate divestments. Net free cash flow, excluding real estate CapEx and disposal is detailed on Page 18. Carrefour was a net seller of real estate for EUR 227 million in 2024, up from EUR 62 million in 2023, due mainly to an increase of disposals by EUR 140 million. This increase comes from a large sale and leaseback transaction we completed in Brazil for a portfolio of 15 stores for EUR 125 million at very attractive terms. Adjusted for these items, net free cash flow, excluding real estate, totaled EUR 1.230 billion. As you can see on Slide 19, the EUR 1.220 billion increase in net debt was primarily related to M&A and notably Cora & Match. It also includes the following elements: the net free cash flow generation of EUR 1.457 billion, dividend payment of EUR 626 million, including EUR 600 million of ordinary dividend to group shareholders as well as dividends paid to minority shareholders and share buybacks for a total outflow of EUR 705 million. I will now conclude this presentation with a quick word on capital allocation on Slide 20. Carrefour continues to follow its disciplined capital allocation strategy, ensuring strong shareholder returns while seizing accretive M&A opportunities and maintaining a strong balance sheet. At the upcoming AGM in May, we will propose an annual cash dividend of EUR 0.92 per share, reflecting a plus 6% increase compared to last year. In addition, we will propose a special dividend of EUR 150 million or EUR 0.23 per share bringing the total dividend to EUR 1.15 per share. This represents a cash yield of 8.2%. This year, our additional return to shareholders will be made through the special dividend rather than through share buybacks as we are adapting to the high fiscal pressure now upside to buybacks in France. The shareholder return, combined with the cash out expected from the acquisition of minorities in Brazil, ensures a good balance between stakeholders and maintains a strong balance sheet. I thank you for your time and attention. Alexandre and I are now happy to take your questions.
Operator: [Operator Instructions] And your first question comes from the line of William Woods from Bernstein.
William Woods : The first 2 are just on the strategic review that you've announced on your activities and organizational models. Firstly, I suppose when you look back at the strategy that you laid out in 2022 for 2026, do you think that focused on the right things when you think about the focus on consolidated buying and shared services? And then secondly, can you give us some more detail on what you're actually looking at doing in terms of the strategic review, whether that's disposals, acquisitions, headcount, markets? Could you give some more clarity? And then the second area is just on CapEx. How much CapEx are you planning to put into France? And I suppose where exactly is this CapEx going to go? And how can we be convinced that it's going to deliver the returns?
Alexandre Bompard: I'll take the first one. You're right. In the Carrefour 2026 plan, we announced our intention to accelerate materialization in Europe. And the transformation towards a more unified and central organization in Europe is well underway and already bearing fruit. We do not plan to stop that, and it's all the more efficient on purchasing through our central that has been making great progress since it was launched 2 years ago. Now we have 34 partners and it accounts for almost 1/3, I think, of our national brands in France. So we will continue, of course, to do that in the future. But in the meantime, the conviction we have, of course, we are halfway through our 2026 strategic plan. And it's a relevant time to revisit options. The practice we have been through in this industry has changed the competitive landscape. It's absolutely critical in this new landscape to have the appropriate market positioning with the right operating model, the right price points and the right market share. That's why we have decided to review our portfolio. I wouldn't be more precise, but there's no limit in this review and the clear focus on what is key or what is not strategic, not and has the potential to create value or not. It includes all our activities, all formats, all operating models as well as our large real estate portfolio, which carries tremendous value.
Matthieu Malige: On your second question relating to the CapEx in France. So as part of our EUR 1.8 billion to EUR 1.9 billion of 2025 CapEx envelope, we will increase the portion that we allocated to France. The French CapEx budget will increase by 20% versus where it was in 2024. We -- it will be focused on improving customer experience. I think that's the bottom line. It will be implemented by revamping some store walls and improving the experience in the stores and also investing into our logistics, which is key to have a good availability of products on the shelves, which likely relates to our sales and availability of promotions. This is absolutely key in the mind of our consumers and does drive our NPS and satisfaction level, which is key for our market share dynamics. So you see that we are satisfied with the investments we've made in competitiveness in operations with very good operations for customers in France. It is visible. Customers appreciate it. And so we want to keep investing in price and allocating more CapEx to France as we think that we have potential to create more value in this market in the years to come.
Operator: Your next question comes from the line of Izabel Dobreva from Morgan Stanley.
Izabel Dobreva : My first question is on France. Could you give us some color on what was the impact from M&A within the French EBIT number? I think at the last M&A update, there was a mention that there would be just under EUR 40 million of one-off going through that French EBIT. Could you just confirm if that was the case or they were booked elsewhere? Because we're trying to understand what the underlying margin did, excluding M&A in the second half? Then my second question is on Europe. So the margin decline appears to have accelerated. And if I look at the group guidance for slight increase, assuming that France is still ramping up the M&A and presumably LatAm is growing. Are you guiding that Europe will decline again next year? Is that the guidance? And then finally, I just have a question on the buyback. Could you maybe give us some more color as to why you're rotating into a special dividend? And then more broadly, how did you arrive at the decision that it is a better capital allocation to buy the minorities considering where the group shares trade?
Matthieu Malige: Thank you very much, Izabel. I'll take -- I'll start with your first one, so which relates to the impact on M&A in the French for 2024. It's overall fairly neutral between the consolidation of the profit of the Cora & Match perimeter, the costs associated to implementing the synergies. And then we had the 27 ex-Casino stores as well. So all this was fairly neutral in 2024. Maybe, Alex, the second one, yes.
Alexandre Bompard: On the second one, we have, I would say, limited visibility in Europe, but I would say also in France on the path of consumption recovery. We have seen purchasing power in the region increase in 2024. But today, it appears that consumers allocated more of their disposal income to rebuild savings on discretionary expenses. Even if sequentially in Europe, we begin to see an improvement of the like-for-like. So the key question for us is the way we can anticipate the timing for a volume recovery. And today, we lack visibility about that in Europe. So what we have to do in the same time is to implement our strategic initiatives that has been the case in the past with our price investments last year as well with all the key 2026 drivers, private label, digital, of course. And that's the way we will pilot the activity in 2025 in Europe. Matthieu...
Matthieu Malige: Yes. And on your third question relating to buyback and special dividend. So as you all know, there is a new tax which came into force in France, which is 8% of the amount of buybacks Carrefour, the cost of the tax for 2024 and that will be paid in 2025 will be [ EUR 66 ] million, which is a very big amount. And so we decided that the additional return, which is part of our capital allocation policy, additional return to shareholders will take the form of a special dividend instead of a buyback. Then as part of our allocation -- capital allocation policy, you referred to Brazil, we've always tried to find a balance. I described last week that the Brazilian operation is accretive to EPS in the very short term and will create value for Carrefour in the medium term, given the confidence we have in the perspectives of this asset. And so at the end of the day, we think we have a balanced capital allocation, 8% yield to shareholders and M&A to increase our exposure to one of our strongest business units in the group, which is Brazil and also maintaining a solid balance sheet, which is something we're very attached to.
Operator: And your next question comes from the line of Monique Pollard from Citi.
Monique Pollard : I had one follow-up on Europe. On Europe, what I'm trying to understand is what got materially worse than you had expected when you had guided to the kind of material improvement in the European EBIT in the second half at the time of the first half results. So obviously, Poland remained competitive. Italy was competitive. Was it the ongoing drag from Spanish Financial Services? Just trying to sort of isolate what it is that worsened versus mid-2024. The second question I had was just whether or not you could give us any view on what your French market share is either in volume or value pro forma for Cora & Match. So I understand that it's increased in the fourth quarter if you ex the 2 but there's usually some leakage from the M&A. So just trying to understand on a pro forma basis, what that might be? And then the final question was just on the strategic review. So is the European performance that you've seen for 2024, was that part of the rationale for launching the strategic review now?
Alexandre Bompard: Thank you for this question. On Europe profitability, we said in July that the recurring operating income would continue to be under pressure in H2 due to competitive markets and to the low volume increase. As you saw in H2, the market environment remained difficult, marked by continued strong price competitiveness in all the markets. What has been very positive and probably more positive than expected is the fact that the investments we have made to improve our price positioning has bear fruits mainly in Spain. We clearly see in Spain positive trends in the third quarter that were confirmed in Q4 with a sequential improvement back to positive like-for-like sales growth. So we were very satisfied about the fact that the investments we've decided in Spain, particularly Boys Foods quite quickly. We have widened our gap with our competitors on prices. And quite immediately, we see the NPS improve, and we see the market share and profitability positive in the Q4. So that's a real satisfaction for the H2. On the market share in France, excluding Cora & Match and even the 27 Casino store, what we have seen this year is that we -- in the H2 is that we started to gain market share in volume on a comparable basis in the Q4. That was the result of our improved price positioning and the strong price investment policy started in Q4 2023 and in H1 last year, together with a strong focus on execution, driving a solid 5 points increase in NPS. So as you remember, probably the market -- growing the market share in volume was our first objective, and we are very pleased with that. Second element, we stabilized our market share in value since Q4 '24 [indiscernible] 2025 despite the big effect of our price effort. This gives us confidence that we have the right strategy as the positive trend has been consistent for 5 months now. And for 2025, we will stick to our policy of investing in competitiveness in order to continue and secure the momentum of market share gains that began in 2024. Just an additional word, if we add Cora & Match on the 27 ex-Casino store, we have the IAS market share in France since 10 years. On your first question, the decision we have taken to review our asset portfolio is not related to the 2024 performance in Europe. It's really the conviction we have that the market has changed with the crisis and the competitive landscape is different. And the conviction we have that we have to be focused on all the activities and countries where we deliver -- we have a high potential of value creation. That's the way we are reviewing our portfolio carefully.
Operator: Your next question comes from the line of Francois Digard from Kepler Cheuvreux.
François Digard : First, I would like to come back again on capital allocation. If I understood you correctly, you prefer an exceptional dividend to avoid increased tax on share buybacks. This tax being here to stay, does that mean that you will not buy back any shares in the future? Can we still consider that your objective is to use all of your net free cash flow and maintain your net debt more or less stable? And finally, in France, we observed that prices have not decreased at Cora or in the lease managed hypermarkets. Are you comfortable with this discrepancy? And do you think it will last?
Matthieu Malige: Thank you, Francois. So we'll see how the tax environment evolves. And so we will adjust as we have adjusted this year. Clearly, we think that the taxation is very significant. And so in the interest of the company and shareholders, that's why we selected this special dividend. And obviously, we will revisit that next year. Everyone has noticed that the tax environment is fluctuating in France. And so we'll see. But given where we are, that's the choice of the company for this additional return. On the second part of your question, I would say this is indeed our objective to maintain a solid balance sheet, not too solid, not to stretch it too much. And so you see we have generated EUR 1.4 billion, EUR 1.5 billion of net free cash flow. We will spend EUR 600 million with the ordinary dividend, EUR 150 million with the special dividend, maximum EUR 690 million in Brazil. So if you add all this up, you're at EUR 1.45 billion, which is very close to the cash flow that we generated in 2024. And so that's why overall, the debt is -- so the generation of free cash flow is therefore used for returning capital to shareholders and for M&A. We have, again, this good balance this year.
Alexandre Bompard: On your last question about prices, no, it's not what we are doing. As you probably remember, last year, there was both a general decrease of prices and additionally, decrease of prices group of store by group of store, region by region, very granular according to the local competitive landscape. So we have some franchisees that have reduced their price at a level, sometimes even more than we've done in integrated stores. Some have a different competitive landscape. It really depends on the local competitive landscape but be sure that the type of entrepreneurs we have as a franchisee are completely convinced that they have to be competitive in terms of price. They have to have the good price positioning. They are entrepreneurs and they know absolutely that they have to maintain this level of performance. For Cora, we have done a lot of things since we managed the operations. We transferred the 60 stores from September to November without closing [indiscernible]. We introduced 5,000 private labels. We begin the decrease of prices. It's progressive. So we are leading all this operation in the same time, but be sure also that Cora will be competitive in terms of price this year.
Operator: Your next question comes from the line of Rob Joyce from BNP Paribas.
Rob Joyce : First one, I just want to understand a couple of bits of the moving parts in the P&L. So looking to next year, just can we just confirm that sort of slight EBIT growth is in that 1% to 2% region? And then on the net financials, I'm still a little bit confused as to how Argentina plays in. Are we looking at a kind of EUR 700 million underlying financial cost run rate going forward? And on the cash flow, just trying to understand again also the recurring nature here. So EUR 800 million or so of working capital, what do we think that is on a more sustainable basis going forward? I think peers will be in the 2 to 4 region. And also on the EUR 600 million of disposals in the year, can you help us understand how much of those are sale and leaseback and what we think the run rate should be on disposals?
Matthieu Malige: Thank you, Rob. So I'm not going to be more precise on what we expect in terms of slight growth. You understand the lack of visibility that Alexandre referred to a minute ago in terms of markets, markets that are still challenging in France, in Europe, and more importantly, our desire to keep investing in price in order to push our advantage in terms of competitiveness with good reactivity of consumers on the price investment. So that's why we have in mind, and that's why it's a flat increase for 2025. So now if I come to the more technical question. So on the financial expenses, I think that it's more 2023 that was quite unusual with this capital gain, with the devaluation in Argentina, which had a positive effect. I think there's -- I think EUR 700 million to EUR 750 million is probably where we are in terms of net financial expenses on a normalized basis, maybe a little less than we had in 2024, but not much. So net free cash flow, as I commented, we have a very strong contribution from working cap. Clearly, there is the consolidation effect of Cora. We consolidated Cora from July, and you know that working cap has positive effects in H2. We've also had a strong positive from Argentina, which was one of the 4 buckets. And so this is probably not to replicate on a normalized basis. So clearly, we should target a lower number. I'm not pointing to any specific one because it will obviously depend on the evolution of the business and of inflation. But clearly, EUR 800 million has a number of specifics in it. Disposals. So EUR 500 million of disposals last year, it was a little higher, EUR 140 million versus the previous year. So we -- certainly, it was quite balanced between CapEx, which is in the EUR 300 million area, which is dedicated to real estate and divestments. When we have an opportunity, and it was the case last year in Brazil, we had -- I think I commented that earlier, an 8% cap rate in a country where the sovereign rate is at 12%, it was an incredible opportunity. So we decided to seize it. And so I'm not guiding you on that one. It will be part of the strategic review, real estate ownership here where is -- would be on the agenda. And so then it would also be a question of what opportunities we have to monetize our assets.
Rob Joyce : Were they the only sale and leasebacks in that [indiscernible]?
Matthieu Malige: Well, there were mostly sales and leasebacks, clearly, when we have some noncore assets that we don't use for the business we try to divest them again if we have good conditions, but they were mainly selling leaseback.
Operator: Your next question comes from the line of Clement Genelot from Bryan Garnier & Co.
Clement Genelot : I will have 3 questions from my side, if I may. The first one is on French hypermarkets. As there is no mention of EBIT breakeven at French hypermarkets in the press release, is it fair to assume that they have remained loss-making in '24 despite the integration of Cora and the continued transfers into management. My second question is on EBIT guidance. If you are guiding for a slight increase, EBIT versus EUR 1.2 billion of cost marketing and some extra price investment, does it mean that you intend to invest more than EUR 1 billion in prices in '25? And my third question is on this price investment. Can you give us a bit of color on where you intend to invest on prices this year, both in terms of markets and formats?
Alexandre Bompard: Thank you for the question. I take the first one, just to tell you, as you know, that we don't release the profitability of the hypermarket. We have continued the transformation of the hypermarket the whole year. We were satisfied with the fact that the better price positioning has conducted to really improve of the NPS in our hypermarket and the job that has been done by the team to improve the quality of the operations have contributed to this improvement of the NPS and it is positive. And as you know, we have announced that we continue the same pace of transfer to lease management contract with an announcement of 15 hypermarkets to be transferred this year. Concerning the -- you take the second one?
Matthieu Malige: The mechanics, Clement is about the same each year on the cost savings. So you're right, we had EUR 1.2 billion of cost savings. As you know, it's gross cost savings. So there is clearly some inflation on our cost, be it salary or general expenses. And so that leads to a net level. And indeed, this is an amount that can be used in order to invest into our competitiveness. And so it depends. And again, it's group number, so it's not French number. Obviously, France contributed very strongly to this EUR 1.2 billion of cost savings. And so this is what allowed us to invest so strongly in 2024 in our price repositioning.
Alexandre Bompard: Yes. On your third question, where I would say wherever it is necessary in order to have the good price positioning, that's why we have fixed this level of cost savings at EUR 1.2 billion and is to have the capability to invest in terms of prices wherever we need to. Of course, you know our main priority is our price positioning in France to keep the same momentum in Spain to remain the lowest price retailer in Brazil. That's big priorities for us. But in the other countries, all the country CEOs have the responsibility to continue their price investments in order to have the good price positioning that's enable to gain market share in volume.
Operator: Next question comes from the line of Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali : And to be honest, most of them are already taken. Maybe just a couple of quick follow-ups. Just coming back on guidance, I guess what I'm trying to reconcile is you're talking about positive trends in Spain, stable value market share in France since Q4. You talked again quite a bit about cost savings opportunity. They all don't seem to be consistent with slight growth. Is this you being prudent? Or do you see something there that really needs a substantial dig into your profit to kind of get the growth again back? And is this a realistic scenario, the slight growth you're talking to as you see it? And I guess maybe within that slight growth, are you talking constant FX that will be helpful to know. And maybe, again, if I stick with the same guidance question, are you able to just help us a little bit by region? Is this something that we should model consistently across regions, a slight growth? Or do you think it's going to be driven more by France with Europe continuing to lag behind or something there that we should keep in mind? That's a couple of questions on outlook. And maybe just on France very quickly. You're talking about stable market shares now in Q4 and into Q1. Is that enough for you to not have to invest much further in France? Or do you see large opportunities to invest and that is what is needed to actually move market share forward this year?
Alexandre Bompard: Thank you, Sreedhar. I'll take the first and third. You're right. We have good momentum in terms of market share in Spain and France. The fact is we lack a little bit of visibility about the volume recovery. In Spain, we begin to see that sequentially month after month, but it remains limited, but it's what we see. In France, it's not the case today. So as we lack visibility, we are still quite cautious about the momentum in 2025. What we know we have to do is to continue and it would make the link with your third question. We will continue to invest in these 2 countries and particularly in France. We clearly see the effect of our price efforts and the effect was strong, and I would say, quite quick. And so for 2025, we will absolutely stick to this policy of investing in competitiveness in order to secure the momentum of market share gains that began in 2024. And it's, of course, as you mentioned, the 2 countries, it's particularly the case in these 2 countries.
Matthieu Malige: On your question, Sreedhar, relating to per region guidance, so we're not going to do that tonight. You see different dynamics across the regions. So -- and you see a clear mission for France, as Alexandre said, clear ambition for Brazil. Clearly Spain is at an interesting inflection point at the end of the year. So I let you run the numbers. On the last one, so question, if I understood well, was do we need more to -- more investments in price to really move from stable market share and value to positive market share. So clearly, our objective is to be positive market share in value, in volume, that's the priority. but obviously, at some point in value, we're positively surprised by the good reaction of consumers to the commercial investments we've made in 2024. That's very positive. It reacted quite fast. And so that's why we want to push the dynamics further in 2025. But clearly, we have a good momentum that is ongoing. You've seen the movie play out through 2024, inflection point Q2. We started to stabilize volume over the summer, positive volumes in Q4 and Jan and positive volume meant stable value. I know it's hard to read because it's combined with the Cora & Match numbers but normally, you have a good reading. And so it's a very interesting dynamic. And so we want to keep pushing on that.
Sreedhar Mahamkali : Matthieu, just briefly on that slight growth, are you thinking constant FX or [Indiscernible]?
Matthieu Malige: No, we are thinking what's the consensus for ForEx. So it mainly applies to Brazil. The consensus sees a slight deterioration of the Brazilian real, we'll see how it moves. That's a very slight negative evolution of the real, we'll see how it plays out.
Operator: The next question comes from the line of Frederick Wild from Jefferies.
Frederick Wild : First, on the free cash flow bridge. So just following up on Rob's question, and correct me if I'm wrong, it sounds like that even though working cap is not going to be quite so much a benefit in 2025, you still feel like you've got a good runway of disposals, particularly sale and leasebacks that you can look into for 2025. Is that still -- is that the right way of thinking about it? And then beyond that, when I look into 2026, do you -- does that runway of disposals and working cap gains continue and allow you to reach that greater than EUR 1.7 billion free cash flow target in 2026? And second, on a sort of broader point, would you mind sort of describing how you think about the competitive environment at the moment in France? And whether that competitive environment is sort of conducive to consolidation at the moment, whether you think this is politically possible and where you think you can sort of take advantage in a fast-moving competitive situation in France?
Matthieu Malige: Thank you, Frederick. So on the net free cash flow, I understand your question. There's a number of moving parts. And clearly, Argentina doesn't help there. If you look at Page 17 of the presentation, clearly, we had heavy negatives on the top part of the net free cash flow. We had more cash out due to the specific situation of Argentina and specific situation of Brazil on the tax side. We had more cash out on the financial result, which was related to the devaluation of the peso. We had more restructurings, which were announced in 2023 with a cash-out effect of -- in 2024. So that was a lot of negatives. And these ones, they will probably also normalize in the future. Then working cap was strong. I answered to Rob there. And then asset disposal, it will depend. So through the years, you always have pluses and minuses. But you see that the net free cash flow increases. It used to be EUR 1 billion, then EUR 1.2 billion. I mean, we had an exceptional year due to Argentina in 2023. We said we would come back to EUR 1.45 billion, EUR 1.5 billion, and that's where we are. So you always have pluses and minuses, but the trend is there. And although it was a tough environment, it was complex from a business standpoint, as we said, you see that the cash flow is here years after years.
Alexandre Bompard: Concerning your second question, you're right, the competitive landscape has changed quite a lot in the recent years. It's not a surprise because the market has been very challenging with this level of inflation, with low volume. It was quite obvious that it could -- that it would accelerate the polarization of the market. That's what has happened in the last 2 years. And I think we are the main gainers of this consolidation, bolt-on consolidation or small consolidation or consolidation [indiscernible] as we would say, in France for 2 reasons. First, because that's Carrefour that has gained the most part of the market share for the acquisition of Cora & Match. And secondly, we made this acquisition without fragilizing our model, without creating a problem. And for us, it was absolutely key. That's the way we have analyzed the different opportunities in the market, and we continue to do that. As you know, we are very selective in M&A to make acquisitions that are accretive and that don't fragilize our profitability and our growth. And we knew that it was not the case of all the assets. That was the case of Cora & Match that was well operated, and we know what we can bring to Cora & Match, but the basis of Cora & Match was good. We've added a very selective numbers of stores coming from casino. And so we -- I think in '23 and '24, we have been very efficient in that. We have benefited from this consolidation without creating something negative in our model, and it was absolutely key. And we will continue to have this very selective approach. We have the balance sheet to do that. But we want to be very, very selective. And I think it's absolutely the good way to operate on consolidation in such a competitive market.
Frederick Wild : That's very clear. Just one quick follow-up, just to be absolutely clear, you're still very comfortable with that '26 guidance of more than EUR 1.7 billion free cash flow, just to be absolutely clear.
Alexandre Bompard: Yes, we confirm the guidance.
Operator: We will now take our final question for today. And the final question comes from the line of Christian Devismes from CIC Market Solutions.
Christian Devismes : Could we come back to Europe? According to my estimate, things were worse in H2 than in H1 with a drop of EUR 120 million in EBIT in H2 versus EUR 80 million in H1. In percentage of sales, it is the same. There is a decline of 100 basis points in H1 -- in H2, sorry, versus 60 basis points in H1. So I thought I understand that there were some one-offs in the first half, the weather, for example, and so on. So could you come back to the causes of this deterioration in H2 versus H1? And perhaps how many countries are loss-making in Europe in 2024?
Matthieu Malige: Well, it's very hard to compare -- it's a seasonal business, as you very well know, and did point in your question, where you have a much bigger business and profit in the second half than in the first half. So I think we should be cautious when comparing. And then you're right, there were a number of one-offs. Well, I think we see markets that have been, I would say, equally tough over the course of the year. What has ramped up and probably more penalized the profitability in H2 than in H1 is the price investments that we put in all our countries, which has been mounting through the years. We had clearly a full semester effect in H2 of these price investments. Conversely, we had a number of one-offs in H1, we did not replicate in H2. So again, I think the trend is relatively, I would say, neutral or balanced between H1 and H2.
Operator: Thank you. I will now hand the call back for closing remarks.
Alexandre Bompard: Thank you very much for this discussion. We'll be happy to continue the exchange very soon. Wish you a good evening. Thank you so much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.